Operator: Good evening and welcome to the Entravision second quarter 2017 earnings conference call. All participants will be in listen-only mode. [Operator Instructions]. After today's presentation, there will an opportunity to ask questions. [Operator Instructions]. Please note, this event is being recorded. I would now like to turn the conference over to Chris Young, CFO. Please go ahead.
Chris Young: Thank you Brandon. Good afternoon everyone and welcome to Entravision's second quarter 2017 earnings conference call. This is Chris Young, Entravision's CFO. Walter Ulloa, our Chairman and CEO, is under the weather today and won't be joining us on today's call. Walter looks forward to talking with you on our next quarterly earnings call. With me on today's call, in Walter's place, is Jeff Liberman, Entravision's President and COO. Before we begin, I must inform you that this conference call will contain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ. Please refer to the SEC filings for a list of risks and uncertainties that could impact actual results. This call is the property of Entravision Communications Corporation. Any redistribution, retransmission or rebroadcast of this call in any form without the expressed written consent of Entravision Communications is strictly prohibited. Also, this call will include non-GAAP financial measures. The company has provided a reconciliation of these non-GAAP financial measures to their most directly comparable GAAP measures in today's press release. The press release is available on the company's website and was filed with the SEC on Form 8-K. Our second quarter results were largely in line with our expectations, stepping down from our political year with decreased revenues at our TV and radio segment offset by higher revenues at our digital segment. At the same time, we carefully managed our cost at our broadcasting operations which allowed us to partially offset the impact on our EBITDA against last year's second quarter which, as mentioned, benefited from political advertising. Overall, we continued to execute on our strategy during the quarter and we remain well-positioned to deliver on our goals in year ahead. Our radio and TV stations delivered healthy audience shares and we are expanding our collective digital audience, giving us an attractive and growing multimedia platform for advertisers who wish to target and interact with Latino audiences at the local and national level. We are pleased with the performance of our newly acquired digital entity Headway, which saw a revenue increase of 82% on a pro forma basis over Q2 of last year. The addition of this innovative mobile programmatic data and performance marketing company will further enhance our digital capabilities to target audiences and consumers. Today Entravision finds itself in an incredibly strong and unique financial position. Our current free cash flow generation coupled with existing cash and cash generated from the recent FCC auction have created a liquidity position approximately equal to our debt. As a result of this, the company's Board of Directors has taken actions regarding future capital allocation. First, the Board of Directors has declared an increase in the company's quarterly cash dividend of $0.01875 per share, bringing our quarterly cash dividend to $0.05 per share. This dividend will be payable to shareholders of the company's common Class A, B and U stock on September 29, 2017. Second, the company's Board of Directors has also approved and authorized a new $15 million share repurchase program effective immediately. Purchases under this new program will be made opportunistically at the discretion of management. Finally, it is the Board's current intent to return increasing amounts of capital to shareholders via future regular quarterly dividends as the company's free cash flow increases. As of today, our current debt to EBITDA, net of total cash, is approximately zero times. We currently plan to limit our net debt to EBITDA to less than three times while using excess cash for a combination of acquisitions and to return capital to shareholders. The company plans to pursue strategic accretive acquisition opportunities primarily in existing markets where we have a broad understanding of the local community. We also seek to maximize tax efficiencies by utilizing sections 1031 and 1033 of the IRS code in order to preserve our $309 million in NOLs. Consistent with this strategy, we recently announced the acquisition of KMIR, an NBC affiliate in Palm Springs, which is a market where we currently operate a cluster of TV and radio stations. With that said, I will now hand it over to Jeff to review operating highlights for the quarter. Jeff?
Jeff Liberman: Thank you Chris and good afternoon everyone. Looking now at our financial results. Revenue increased 9% to $70.5 million in the second quarter primarily due to the inclusion of a recently acquired digital operation at Headway. Excluding the impact of higher political revenue in the prior year period, core revenue increased 10%. Consolidated adjusted EBITDA was down 18% compared to last year, while free cash flow which we defined in our press release was $5.6 million versus $11.3 million in the prior year. Turning to our television segment operating results. Television revenue was down 4% during the second quarter, primarily due to a soft spot market and the absence of political advertising. National advertising revenue was down 2%, while local advertising revenue was down 8% compared with last year's second quarter period. Retransmission revenues were flat during the second quarter, compared to the prior year period. Excluding retransmission and political revenue, core television revenue was down 3%, with local down 6% and national up 2% during the quarter. Automotive advertising was down 7% for our TV segment and represented approximately 34% of our total TV advertising revenue. Breaking out the various auto tiers, Tier 1 auto revenue was down 1%, while tiers two and three were down 7% and 10% respectively. Key advertising categories that generated growth during the second quarter included media, direct marketing and healthcare. Services and restaurants, two of our top 10 categories for TV were particularly soft in the quarter compared to the second quarter of last year. Overall, we added 34 new advertisers who spent more than $10,000 during the second quarter, which totaled approximately $708,000 in advertising revenue. Notable new brands in the second quarter included Amerigroup Insurance, Gatorade, Purdue Pharmacy‎ and Courtesy Toyota. Turning to our ratings performance. Our Univision television affiliates built upon their market leadership in the May 2017 sweeps. For adults 18 to 49 in early local news, our Univision television stations finished ahead of their Telemundo competitor in 14 of 16 markets where we have head-to-head competition. In late local news, we finished ahead of Telemundo competitors among adults 18 to 49 in 12 markets among the 16 markets where we have head-to-head competition. Additionally, our early local newscasts are ranked number one or two, regardless of language in 10 markets. Our late local newscasts are rated number one or number two in six markets regardless of language. During a full week, our Univision and UniMas stations combined have a cumulative audience of three million persons 2-plus in our markets combined compared to Telemundo's 1.9 million persons 2-plus. We have 59% more viewers than Telemundo in our footprint. During weekday prime time, when compared to all stations, we have higher ratings than one of the big four networks in 11 markets among adults 18 to 34 and adults 18 to 49. Turning to our audio division. Audio revenues were down 12% during the second quarter, compared to the prior year. Local revenues were down 9% and national revenues decreased 19% in the quarter. To breakdown national further, national spot was down 31%, while our audio network increased 3% compared to the second quarter of last year. Excluding political, core audio revenues were down 11% in the second quarter. Notable new advertisers to our audio network during the second quarter included Indeed, Community Tax, Lala Milk and Sureify, NAPA Auto Parts, United States Postal Service and Major League Soccer. These brands chose to advertise with Entravision due to our superior targeting capabilities and consistently strong audience shares supported by our nationally recognized talent. We continue to work closely with our syndicated radio personalities in supporting their roles, not only as entertainers with household names, but also as multiplatform brand ambassadors for our major advertising partners. This was the fastest growing segment of our audio network during the second quarter. These 12 network brand endorsement campaigns compared to just eight in the same period last year, which illustrates our increasing ability to deepen our relationships with key advertisers. These include AT&T, Home Depot, O'Reilly Auto Parts, Macy's, JCPenney's Dodge Ram, KFC, Little Caesars and Walmart, the combination of second to none in the Latino media industry. Key advertising categories for our audio division during the second quarter were retail and travel and leisure. These increases were offset by auto, restaurants and healthcare that saw declines compared to the second quarter of last year. Looking at our audio division's rating performance. On Spanish stations, the Erazno y La Chokolata show is ranked number one in seven of the 10 markets released to-date for spring 2017 among Hispanic adults 18 to 49. "El Genio" Lucas is ranked number one or two among Spanish stations Hispanic adults 25 to 54 in five of the nine markets released to-date for spring 2017. Lastly, with regards to our new format, La Suavecita and KSSE-FM in Los Angeles, the station is performing well with solid year-to-year audience growth comparing June 2017 to June 2016 audience for prime time, which is Monday through Friday, 6 A.M. to 7 P.M. among Hispanic adults 18 to 49 and 25 to 54, increased 50%. This improvement should position our LA cluster well for national sales later in the year. Turning to our digital business. Digital revenue increased 157% during the second quarter, which includes revenue from Pulpo, along with our recently acquired Headway operations which are complementary with each other. On a pro forma basis, digital revenue increased by 28%. Digital revenue accounted for approximately 22% of our company's total revenue in the quarter. With the Headway acquisition, we have now assembled the three core elements of the Entravision digital platform. First, our own fast-growing premium digital brands, content and audiences. Second, our aggregate of publishers' network with a vast reach and ad inventories. This is the supply-side of our digital business. And third, programmatic and performance demand-side. We have started the process of determining how we combine the operations of Headway and Pulpo to exploit all the potential revenue and operational synergies. These synergies will improve our overall digital product offering, accelerate new product research and development and provide new ad inventories to our clients. Bringing headway and Pulpo together into a single database national platform will create a solid offering in delivering greater insight to targeting and performance for our clients. We will be leveraging this data asset also to support all of our digital and broadcast products. We are expanding Entravision's digital business to reach Latinos in the U.S., Mexico and Latin America through Headway and Pulpo's existing products. This strengthens and diversifies our model, provides greater revenue scalability and creates new market opportunities for growth. With Mobrain performance, we continue to tap into the rapidly growing and lucrative mobile app promotion market. We scaled Mobrain technology in order to drive over 100 million clicks per day in the quarter, up from an average of 60 million clicks per day in Q1. We continue to attract a diverse range of well-known brands to our digital platform. Major advertisers we worked with during the second quarter included Subway, Toyota, Charter Communications, Wendy's, American Heart Association, LA Care and Unilever. Our top advertising categories that showed strength during the second quarter included restaurants, retail and travel and leisure. We remain the number one digital platform for reaching Latinos in the United States according to comScore whose latest numbers show that our mobile audience share continues to expand among the all-important bilingual millennial demographic. According to the most recent comScore data, Pulpo connects with over 25 million unique bilingual and bicultural U.S. Latinos via mobile. In serving this massive audience, we published over 6,800 new stories during the second quarter. These stories produced over 1.6 million views across our owned and operated websites. We also had another solid quarter in digital delivery growth, which is a key metric in today's digital ecosystem. Our digital views on our websites increased 155% in Q2, when compared to the previous quarter and we delivered over 98.2 million video views across all of our properties when combining social platforms and our websites. During the second quarter, we streamed over 7.3 million hours of audio entertainment. This audience is comprised of an average of over 750,000 monthly unique streaming listeners. And with regards to social media, during the second quarter, our cumulative social media community surpassed 9.2 million followers across key networks including Facebook, Twitter and Instagram. Overall, we continue to strengthen our digital platform through our commitment to engage content and our focus on expanding our mobile offerings. In turn, we are utilizing our strong data analytics, targeting capabilities and performance products to drive consumer and interest across multiple channels. Turning now to our pacing for third quarter. Television revenues are currently pacing minus 10 in the third quarter. As a reminder, on July 1 our XHAS station serving the San Diego market switched its affiliation from Telemundo to Azteca América. Excluding the impact of this change, our TV revenues are pacing at minus 1. Excluding political and the Telemundo Azteca affiliate swap, our core TV pace is plus 2%. Our audio advertising revenue is currently pacing minus 9% in the third quarter. Excluding political, core audio revenue is pacing minus 9%. Digital revenues are currently pacing in the 20% range on a pro forma basis with the Headway acquisition. To clarify, Pulpo and Headway's revenue in Q3 of last year combined was approximately $13 million. In summary, we remain focused on executing our strategy of building on our unique audience reach and targeting capabilities while carefully managing our cost. With the FCC auction proceeds now in hand, our already strong balance sheet has now become even stronger. This strength has allowed the company to undertake shareholder initiatives such as increasing our dividends and announcing a new share repurchase program. We are focused on growing our free cash flow through acquisitions in existing operations. We will continue to evaluate and remain committed to returning increasing amounts capital to our shareholders. We will also focus on putting a portion of our auction proceeds to work in an accretive tax efficient manner by seeking M&A opportunities within our existing broadcast footprint in order to strengthen our competitive position in the same vein as our recent acquisition of the NBC affiliate in Palm Springs. More importantly, we will pursue this acquisition strategy while keeping a net leverage profile of less than three times. I will now turn the call over to Chris to cover the numbers in more detail.
Chris Young: Thank you Jeff. As Jeff has discussed, net revenue for the quarter was up 9% to $70.5 million compared to $64.8 million in the same quarter last year. OpEx increased 5% to $41.9 million and consolidated adjusted EBITDA was $14.9 million. The company announced today that its Board of Directors has approved a quarterly cash dividend to shareholders of $0.05 per share of the company's Class A, B and U common stock, in an aggregate amount of approximately $4.5 million which represents an increase from the prior quarter's dividend of $0.03125 cents per share. The quarterly dividend will be payable on September 29 to shareholders of record as of the close of business on September 14, 2017 and the common stock will trade ex-dividend on September 12, 2017. On July 13, 2017, the Board of Directors approved the repurchase of up to $15 million of the company's common stock. Under the new share repurchase program, the company is authorized purchase shares from time to time through open market purchases or negotiated purchases, subject to market conditions and other factors. On July 21, 2017, the company received proceeds of $263.6 million related to its participation in the FCC auction for broadcast spectrum. The proceeds reflect the FCC's acceptance of one or more bids placed by the company during the auction to modify spectrum usage rights for certain of the company's television operations. The company does not expect that the modification of spectrum usage rights will result in material changes in the operations or results of the company. The proceeds of the auction were deposited into the account of a qualified intermediary to comply with IRS code Section 1031 requirements to execute a like kind exchange. On July 20, 2017, the company entered into an agreement with OTA Broadcasting to acquire television stations KMIR-TV, the local NBC affiliate and KPSE-LD, the local MyNetworkTV affiliate serving the Palm Springs, California market for an aggregate purchase price of $21 million. The transaction, which is subject to customary closing conditions, including the prior consent of the FCC is currently expected to close in the fourth quarter of 2017. The company has entered into an amendment to its bank credit facility. The amendment increases the amount of certain restricted payments that the company can make under the terms of the credit facility. Additional details regarding the amendment are provided in the company's current report on Form 8-K dated today, August 2, 2017 filed with the SEC. For the quarter, TV net revenue was down 4% to $37.8 million compared to $39.2 million in the same quarter of last year. The decrease in our TV segment was primarily attributable to a decrease in local revenue and a decrease in political advertising revenue which was not material in 2017. Retransmission consent revenue for each of the three-month period ended June 30, 2017 and 2016 was $7.5 million. Radio net revenue for the quarter was down 12% to $17.2 million compared to $19.6 million in the same quarter of last year. The decrease was primarily attributable to decreases in local and national advertising revenue and a decrease in political advertising revenue which was not material in 2017. Digital net revenue for the quarter was up 157% to $15.6 million compared to $6.1 million in the same quarter of last year. The increase in our digital segment was primarily attributable to the acquisition of Headway during the second quarter of 2017 which did not contribute to our results of operations in prior periods. Operating expense for the quarter was $41.9 million, up 5%. TV operating expenses excluding non-cash compensation expense were down 3% to $20 million. Audio operating expenses, again excluding non-cash compensation expense were down 4% at $15.5 million. Digital operating expenses excluding non-cash comp were up 106% at $6.1 million. Corporate expenses for the quarter were up 6% to $5.6 million compared to $5.3 million in the same quarter of last year. Excluding non-cash compensation expense, corporate expenses for the quarter were $4.8 million versus $4.6 million in the same quarter of last year, an increase of 4%. Excluding non-cash compensation expense, the increase in corporate expenses was primarily attributable to an increase in salary expense. Income tax expense was $2.1 million for the quarter while cash taxes paid was $0.2 million. Given the elimination of our full valuation allowance in the fourth quarter of 2013, future income tax expense will run at approximately 40% of pretax income, although most of this expense will continue to be non-cash given our NOL offsets. Earnings per share for the quarter decreased to $0.04 per share compared to $0.06 per share in the second quarter of last year. Free cash flow as defined in our earnings release decreased 52% to $5.6 million for the quarter compared to $11.8 million for the same quarter of last year. Cash interest expense for the quarter was $3.4 million compared to $3.5 million in the same quarter of last year due to interest related to our swap agreements. Cash capital expenditures for the quarter were $5.7 million versus $2.6 million in the prior year. The increase in CapEx was due to a real estate acquisition of the company's existing studios in Denver for $3.1 million that we had previously been leasing. Capital expenditures for 2017 are expected to be approximately $13 million. Turning to our balance sheet. As of June 30, 2017, our total debt was $290.9 million and our trailing 12-month consolidated adjusted EBITDA was $66 million. Cash and restricted cash on the books as of today, August 2, is $302.3 million. Net of $20 million of unrestricted cash in the books, our total leverage as defined in our 2013 credit agreement was 4.1 times as of 6/30/2017. This concludes our formal remarks. Jeff and I are now happy to take your questions. Brandon, I will turn it back over to you.
Operator: [Operator Instructions]. Our first question comes from James Wilson with Noble Capital Markets. Please go ahead.
James Wilson: Hi, guys. I am representing Michael Kupinski on this call. He was unable to be on, but he still had a few question we would like to ask, if that's all right.
Chris Young: Sure thing, James.
James Wilson: So first off, it seems that there may have been progress on getting an agreement done with Univision. Are you guys still optimistic on that master affiliation agreement that will get signed in the near term?
Chris Young: James, we are continuing to negotiate with Univision on that master affiliation agreement, as well as proxy. The proxy bid has continued to be renewed monthly. You know what, when we have the news of a new deal, we will certainly report it to you. This has been a process that's been ongoing for two-some-odd years now. So you know, we are hopefully not far away but we have no deal yet in hand.
James Wilson: Okay. All right. Thank you. Also, at one point the company seemed potentially interested in buying more radio, especially in your television markets as part of an acquisition strategy. It seems you guys might have soured on radio acquisitions. Can you talk about the reasons for that?
Chris Young: Well, I think generally speaking, James, the radio environment has become a more difficult environment by the quarter to operate in. And you know, at our core, we have historically been a TV business. It is a business we know the best and you know, our comfort zone right now as far as acquisitions are concerned, from a priority standpoint, are TV first. Radio, to the extent that there are tuck-in opportunities in existing markets, certainly that's something that we will take a look at. But as far as the transformative radio transactions that are potentially out there, I think that we are going to focus on TV first, perhaps digital second and radio a distant third as far as M&A is concerned.
James Wilson: Okay. All right. Thank you very much. I think you guys covered all the questions, either just now or on the call. So thank you.
Chris Young: Thanks James. Give Mike our best.
James Wilson: Oh, I will.
Operator: [Operator Instructions]. Our next question comes from Amy Yong with Macquarie. Please go ahead.
Rachel Walsh: Hi. This is actually Rachel for Amy. So two quick questions. First on the two stations you just purchased. Can you give us a little bit more detail on the synergies you expect to realize? And then secondly, as you pursue more deals, would you ever consider stations outside of the existing markets.
Chris Young: Okay. So let's cover KMIR first. So that transaction was a $21 million transaction. We stated in our press release that it's going to be approximately at a buyer's multiple of 6.5 times. That yields approximately an incremental $3 million in cash flow. We already have an existing operation in Palm Springs. So we have got a lot of operational synergies and back-office synergies. We have got two operations in two facilities. They are going to be merged into one. We own property in that market that we will likely be selling that will help, as far as the synergies are concerned. So are you looking for a dollar figure? Or are you just looking for some color on what the synergies are?
Rachel Walsh: Really as much clarity as you can give us. So either or.
Chris Young: Well, you know the synergies that we have kind of earmarked are between, I will call it, $500,000 and $750,000. And that's both from the savings coming from operational synergies around the facility as well as various other expenses for both organizations that we are going to harmonize and then save a buck or two.
Jeff Liberman: Yes. This is Jeff. I would also add that this will allow us to go after the entire marketplace. Right now since we only have Spanish language properties in the market, with this acquisition, it will allow us to focus in on going out to every advertiser to advertise with us, regardless of language there. Also with the station, the NBC affiliate, their digital properties were not as strong as we think they should be and we feel bringing our digital platform over to them will help them a lot and be able to increase revenue also.
Chris Young: And Rachel, just to cover your second question. That new markets, sure, I think the caveat behind new market opportunities for us is that they still have to be good strong Latino markets. And what we mean by that is a market that's 40%, 50% plus Latino local population. That's kind of our sweet spot. And can it be English as well as Spanish? Of course, as evidenced by the NBC transaction. But preference, obviously, is Spanish first. But we will do English, if it's in a good Latino market as well.
Rachel Walsh: Okay. Perfect. Thank you so much.
Chris Young: Thank you Rachel.
Operator: Our next question comes from Jim Goss with Barrington Research. Please go ahead.
Jim Goss: Thanks. I was wondering if you can get any more granular on the TV revenue decline? You mentioned that political impacted a lot. Could you break out how much was political versus other? And within the other, any sense of categories or geographies that had an impact?
Chris Young: Sure Jim. So TV revenue last year for political, Q2, we were up against approximately $700,000 of political.
Jim Goss: Okay.
Chris Young: Beyond that political, I will say that the auto sector itself, well, it started out the quarter strong, but at the end of the quarter it started really unwinding on us. And we ended up with the automotive which is approximately 33% of our total TV advertising, ended up at minus 7%.
Jim Goss: Okay.
Chris Young: That was probably the biggest. We have also got legal services which is our number two category. That's kind of a cross between immigration attorneys and personal injury lawyers. That business has also seen a decline. And that business was down 16% approximately. So you got your number one and number two categories that were unwinding on us. And I would go on to say that the legal category itself is perhaps attributable to the administration that we have and immigration attorneys, quite frankly, don't need to advertise as much because they have got all of it handled with respect to what's happening with the administration.
Jim Goss: Within auto, how does it breakdown in terms of national versus local and regional type the product and between new and used cars? Does that vary and go in and out, depending on the environment, as SAAR has declined?
Chris Young: It does. Let me give you a breakout. The TV advertising landscape generally gets put into three different silos. Tier 1, which is the national, at the national level either Detroit or Tokyo or where have you. Tier 1 revenue represents about 9% of our total auto. Tier 2, which are the co-ops, the co-ops between the dealerships and national, that's 54% of our revenues. And then Tier 3, which is just pure local dealerships, that's about 35% change for total revenue. So that's what we are seeing that the biggest drop off for us this past quarter was definitely in the Tier 1 category.
Jim Goss: Okay.
Chris Young: Tier 1 rolls off -- go ahead.
Jim Goss: And the last thing I was going to ask was whether there is any timeframe flexibility on your like kind exchanges that you might be able to make?
Chris Young: So the flexibility, yes, you have got two windows that are open now. The cash arrived on July 21. You have six months to close deals with respect to the 1031 like kind exchange. And what you have on top of that is, within 45 days of the July 21 day and you have to name your targets, three targets per station. We sold four stations. So the targets have to be articulated in writing with the IRS and on file within 45 days. So the clock is ticking on that front as well. Now that's 1031. There is another IRS rule called 1033, hires which allows you up to two years from the date of the receipt of cash to go ahead and make acquisition. So that's Plan B. If the 1031 opportunities can't be ceased, for whatever the reason, we will take the cash back at the end of the six month's acquired period as per 1031. The cash will sit in our books and then we will patiently go after or seek 1033 opportunities which allows us again two years, but more importantly also allows you to purchase the stock of a company. It has to be controlling share of 80%. But that's clearly a Plan B that we are looking at as well. So you have got two plans with respect to trying to save on our $309 million of NOLs.
Jim Goss: Okay. One last thing. Are there any situations where you might be able to enter a market where you think it could benefit from a Spanish-language station, but there is none, that you could effectively create one out of, they used to call it more stick type situations in radio. But is that even possible in the television where you have a specialized product? Any of the skill set that maybe don't have a signal in your market?
Chris Young: Well, I don't think it's realistic that we are going to after a market that's close to the Canadian border and think that we are going to make a lot of money in Spanish-language programming. But certainly to the extent that a market we feel that the market is under-serviced, as far as Spanish-language media is concerned, either on TV or radio, certainly, I think there are opportunities out there. Jeff, I don't know if you disagree or not, but we have got internally a list of markets that we have prioritized. And within those markets, they been prioritized because we have done our research as far as the market profile is concerned and we think that there is an opportunity over the next 10 years to really make some inroads. And that's how we are going about this process. So the short answer to your question is, I guess, yes.
Jeff Liberman: Jim, I will also add that some of these marketplaces that you maybe talking about can also be served by our digital audio streams and we are looking at seeing how we can expand out and possibly promote to some of these markets that don't have a linear TV or over-the- air radio properties to be able to service them through the Internet. So, I will put that out there also.
Jim Goss: Okay. Thanks very much. I appreciate it.
Chris Young: Thank you Jim.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Chris young for any closing remarks.
Chris Young: Brandon, thank you and thank you everyone who called in. Walter and I look forward to continuing the conversation with you on the next earnings call for third quarter. And everyone have a good day. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.